Operator: Good day and welcome to the Molson Coors Beverage Company in Second Quarter Fiscal Year 2021 Earnings Conference Call. You can find related slides on the Investor Relations page of the Molson Coors website. Our speakers today are Gavin Hattersley, President and Chief Executive Officer; and Tracey Joubert, Chief Financial Officer. With that, I'll hand it over to Greg Tierney, Vice President of FP&A and Investor Relations.
Greg Tierney: Thank you, operator, and hello everyone. Following prepared remarks from Gavin and Tracey. We will take your questions. Please limit yourself to one question and if you have more than one question, please ask the most pressing question first and then re-enter the queue for follow-up. If you have technical questions on the quarter, you pick them up with our IR team in the days and weeks to follow.
Gavin Hattersley: Thanks, Greg. Good morning and thank you everybody for joining us today. Nearly two years ago we laid out the Molson Coors revitalization plan, a multi-year strategy to deliver a sustainable top line growth that has alluded our business for many years, while at the same time delivering sustainable bottom line growth. Under the plan we have streamlined the company only reinvesting those savings to build on the strength of our iconic call, aggressively grow our above premium portfolio, expand beyond the beer aisle, enhance our capabilities and support our people and communities. We had a few doubters then and we had some unexpected challenges since from a global pandemic to severe Texas winter storms to a cyber-attack in our company. But nearly two years later we can say to those doubters with confidence that Molson Coors is on a path to deliver sustainable top and bottom line growth. Our performance this quarter speaks for itself. I say that because for nearly two years, we've talked a lot about the outputs of our revitalization plan, new investments, new partnerships, new product launches and new campaigns. So today we're able to start talking meaningfully the outcomes from the revitalization plan and that's an important shift. In the second quarter, despite ongoing pandemic restrictions, we delivered the most top line growth of any quarter in over a decade and we nearly achieved 2019 net sales revenue levels on a constant currency basis despite this pandemic restrictions during this quarter. I'm incredibly pleased with this progress, but it's a strong indicator of what is yet to come through our revitalization plan. Our progress was primarily driven by three things. First, it was driven by the fact that we delivered the best brand mix in the United States since the inception of the MillerCoors joint venture in 2008. This significant premiumization of our portfolio was led by the strong growth of our US hard seltzers where we doubled our share of the US hard seltzer segment in the second quarter. We took over as the global brewer with the fastest growing US seltzer portfolio and we recently passed another major brewer in our fourth in total US seltzer share as we continue to move towards our goal of achieving a 10 share in the US by year-end. Those are outcomes. We are also continuing to see strong traction with our busy innovation. With these fast turning new Lemonade variety pack help the Vizzy brand gain almost a full point of US share in the second quarter, and we just added another new package to their family with Vizzy Watermelon, which has been a hit with retailers thus far.
Tracey Joubert: Thank you, Gavin, and hello, everyone. We posted a strong second quarter which exceeded expectations. We continue to make real progress executing our revitalization plan and we are starting to see the results in our operating performance. As Gavin noted, we continue to premiumize our brands and strengthen our core business, and our improved financial flexibility has enabled us to invest in our business while continuing to deliver our balance sheet and to reinstate a dividend. Now, let me take you through our quarterly results in more detail and provide an update on our outlook. Consolidated net sales revenue increased 13.7% in constant currency, delivering 98% of second quarter 2019 levels despite continuing to operate with varying degrees of on-premise restrictions. Consolidated financial volumes improved 5.5% uptake in brand volume growth of 3.1% driven by higher Europe volumes and favorable US domestic shipments. Top line performance benefited from on-premise reopenings in the quarter for most of our major markets, as well as strong global net pricing, positive channel mix and historic favorable brand mix levels in the US, as we continue to premiumize our portfolio. Net sales per hectoliter on a brand volume basis increased 5% in constant currency, driven by pricing growth coupled with positive brand and channel mix, partially offset by geographic mix, given the strong growth in Europe and Latin America. This top line growth was somewhat offset by inflationary pressures, which impacted most consumer product company as well as increased marketing investments as we continue to execute our revitalization plan. Underlying cost per hectoliter increased 8% on a constant currency basis, driven by cost inflation including higher freight and packaging costs. However, with robust hedging and cost savings program, we have been able to significantly mitigate much of the inflationary pressures. MG&A in the quarter increased 25.3% on a constant currency basis as we cycle timing shifts and targeted reductions to marketing spend in the prior year period due to the corona virus pandemic. As planned, we significantly increased marketing investments in the quarter, putting strong commercial pressure behind our key innovations and core brands. Underlying EBITDA decreased 1.3% on a constant currency basis, but increased compared to 2019 second quarter levels. Underlying free cash flow was  for the first half of the year, a decrease of $238.2 million from the prior year period. This decrease was wholly driven by letting roughly $500 million in benefits in the prior year related to tax deferrals due to governmental programs and was partially offset by favorable working capital and lower capital spend.
Operator: Thank you. We will now begin the question and answer session.  Our first question comes from Rob Ottenstein, Evercore.
Robert Ottenstein: Great, and thank you very much. Gavin, I'm wondering if you could talk a little bit about what you've learned so far about the hard seltzer market. Clearly, it seems that there is some issues with beer branded trademarks, but at the same time you've got this proliferation of 700 brands or more then I understand, there is competition from various ready-to-drinks so love to get your thoughts on that. And then, also want to understand why you're not using the Vizzy trademark more in Europe and the UK and that you feel that you need to have different sorts of trademarks there. So a lot of questions, just really love to get your thoughts on what you've learned about hard seltzers and what's going on in that segment. Thank you.
Gavin Hattersley: Thanks Robert and good morning. Look, I mean, we've always said that the growth rates weren't going to continue at the elevated levels that were and that others might have seen. You know Robert it is really no surprise to us the stated growth is slow because you know, the category was starting last year huge comps and we've said in the past that seltzers we're a beneficiary of the on-premise shutdown because such distribution exposure in the off-premise and so as the on-premise is reopened and there is less distribution. And so this is not a surprise to us. I think we've been saying this for almost a year. We've also been saying for a while, even if it's growing at 10%, 20%, 40%, there really isn't anything else in the beer space that's growing that quickly. So it's good for the beer category and it's good for us. In North America, in the US, we've got two very clear and differentiated winners from our point of view and we plan to continue our focus on Vizzy and Topo Chico Hard Seltzer, Now you referred to a Coors Seltzer. Robert, I would say to you that Coors Seltzer up in Canada is actually doing really, really well and it's already achieved double-digit share in some retailers and it's between Vizzy and Coors Seltzers probably the most successful product launches that we've had for our company in 5 years up in Canada. We do believe that there will be a shakeout in the near future as many brands struggled to succeed in the crowded space and while Vizzy and Topo Chico Hard Seltzer continue to accelerate, Coors Hard Seltzer wasn't. And so that's why we made the decision in the US to discontinue Coors seltzer and commit our energy, our resources, the material supply we've got in our shelf space to busy Vizzy and Topo Chico. Of course, it's going to stay in Canada, as I said, it really well the market dynamics are different in the brand has performed well. In Europe, it's exhibiting in the UK and Central Eastern Europe some of the same trends in the early days is the as the US did. And we've obviously tested all of our options from a brand point of view and the early read was that Three Fold was the right brand to go with and it's landed very well. We are building capacity there and I think we're well positioned in the UK to be a strong player if it takes off like it did in the US. And the same applies the Central and Eastern Europe. Why? Moment was the best brand, resonated really well with the consumers there. The Central Eastern European team do a fantastic job from an execution point of view. So the execution is really good and we actually have first mover advantage in Central and Eastern Europe. So, we feel very good about a leading position in Central and Eastern Europe with that brand as well. I think I hit all your questions Robert, if I didn't, happy to take a follow-up from you.
Robert Ottenstein: Yes, and thank you for that detail. The only other one was how do you look at the interaction between hard seltzers and ready to drinks, there's some observers say that there's really not much interaction. It's the same occasion. I'm not sure I believe that 100%, but love to get your thoughts on the various ready-to-drink concoction that are coming up and how you intend to play in that space going forward as well, I know you're doing a few things there. Thank you.
Gavin Hattersley: Sure, Rob. I mean, yes RTD beverages are emerging, an emerging and fast growing segments in fact RTD sales already outpaced spirits and that gaps I think, going to likely widen in the future. Competing in this space is a natural fit for companies like ourselves who have got experience packaging beverages in 12-ounce cans and bottles and working with our distributor partners to get those products out there. So, we look forward to competing in this category with Proofpoint and we've got Superbird as well, which is the top end of that, which we launched earlier this year, and you know we have other offerings that we believe will appeal to consumers in our innovation pipeline.
Robert Ottenstein: And how much interaction do you see in these ready-to-drink products with hard seltzers or is it too early to say?
Gavin Hattersley: I think it's too early to say, Rob, I mean obviously there is some interaction, it's interesting we've been asked this question as it relates to the beer category and there is more of seltzers volume and growth is coming from outside of the beer category than it's coming from inside the beer category. Our data would suggest that I've seen our competitors, say the same thing and certainly it's been very positive from an overall beer category, beer segment point of view.
Robert Ottenstein: Terrific. Thank you very much.
Operator: Our next question comes from Bill Kirk with MKM Partners.
William Kirk: Hey, thank you for taking the question. So, you talked a bit about the rationale to streamline economy brands, but it also looks like there is some discontinuing of some SKUs for pack sizes on brands like Coors Light and Miller Lite. So can you talk about the decision - I guess to streamline pack sizes as it relates to your efficiency efforts?
Gavin Hattersley: Yes, thanks Bill, and good morning to you as well. Look, we did a thorough review of all of our SKUs and brands. I would say the majority of the SKUs and brand or certainly all the brand reductions, the majority of the SKU reductions are in our economy space. We did identify a few SKUs, which were slow moving and which could be substituted with other more profitable SKUs that would make us more effective and so there would have been just a few outside of the economy space that we rationalized, the vast majority of it is in the economy space.
William Kirk: Got it. And Tracey as a follow-up, I think you said that US brand volume declines were entirely economy. Does that mean excluding the discontinued economy brands that US brand volumes positive or do the remaining economy brands still drag that number into the negative?
Tracey Joubert: No, so the SKU is just recent and so I would say that it's really the prior sort of economy portfolio that is driving that down.
Gavin Hattersley: And Bill Miller Lite and Coors Light in the second quarter as I said, I think in my prepared remarks grew. I haven't done thing I've been able to say that often over the last sort of 15 years or so, and our above premium portfolio did very well as well with the Blue Moon franchise coming back strongly, our craft brands coming back and we're very pleased with our seltzer performance.
William Kirk: Thank you. I appreciate it guys.
Gavin Hattersley: Thanks, Bill.
Operator: Our fourth question comes from Lauren Lieberman with Barclays.
Lauren Lieberman: Great, thanks. Good morning. Let us talk a little bit more about on premise, and number one, just thinking about brand strategy and portfolio. So, first I was curious about hard seltzer, the degree to which you're trying to expand presence of your brands in on-premise, I think that you had mentioned Vizzy as an on-premise play in Canada, if I got that wrong, I apologize, but I was curious if that was in the thought process for the U.S.? And then, also just I think industry wide discussion of big brands gaining more presence, Staropramen and so on as on premise reopens and I was curious, the degree to which you're starting to see that or been positioning for that to be the case as reopening continues. Thanks.
Gavin Hattersley: Yes, thanks, Lauren. Look, yes during the pandemic, we did see increased demand for large trusted brands and this is particularly true in the on-premise. Many on premise owning sticking to faster moving brands and this obviously benefits brands like Miller Lite and Coors Light, in particular for us and we are seeing that trend stick as we certainly into the sort of new normal. As I said earlier, with Miller Lite and Coors Light we did grow segment share for the 27th quarter. We're also seeing growth in our above-premium portfolio with for example Blue Moon in the US is up nearly 15% in the quarter, Peroni is up nearly 35% and it has provided us an outstanding opportunity to sample our newer offerings, like Blue Moon LightSky and Vizzy and Topo Chico Hard Seltzer which we actually missed that opportunity last year. So certainly, I wouldn't say it's just Vizzy that's going on-premise, I would say both Vizzy and Topo Chico hard seltzer, Topo Chico is as good as well as it's doing, it's in fairly limited number of markets, less than half of the states in the US and in those states it's beyond the desire for it to be on premise has been very, very good. Canada, obviously little too early to say because the restrictions there have a drag on a little longer than they did in the United States. So, to seem to tell how the Canadian on premise is going to open up. In Europe, it's been very pleasing. As you know, significantly over-indexed to the on-premise. So, the on-premise recovery that's taking place in Europe has been very positive for us. And in fact in July, we've seen the on-premise business in the UK start to approach 2019 levels and hold there; so that has been very encouraging for us.
Lauren Lieberman: And just a follow-up to just clarify, it's within on-premise that's opened, do you believe that you're gaining share within those outlet because of any degree of greater distribution or relative presence within the channel?
Gavin Hattersley: In the US the answer is yes. In the UK the data lags a little bit, so not ready to call that, yes. We have a hypothesis that we are, but I don't have data yet to support that. In Canada, obviously the reopening is not in a place where we can determine that yet, but in our biggest market, the answer to that is yes Lauren.
Lauren Lieberman: Okay, great. And then, the plan is to get to bring Vizzy and Topo Chico hard seltzer on premise in the US and you have the capacity to do that in your plans is that for this year is that more of a looking into 2022?
Gavin Hattersley: Certainly, we have a capacity, with Vizzy we have been able to meet all the demand that our distributors have had with for Vizzy ready since the beginning of the year. Topo Chico obviously is more challenging from a supplier point of view. It continues to perform extremely well. It has only got one SKU, it has got distribution in 16 markets and supply continues to be a little tight, but the production is improving and that is going to allow us to push distribution, which would include the on-premise, but also allows us to start turning our marketing campaign on behind Topo Chico as well Lauren. So, I guess it's a convoluted way of saying, yes.
Lauren Lieberman: Okay, great, thank you so much.
Operator: Next question; Steve Powers with Deutsche Bank.
Steve Powers: Thank you very much. A couple of questions centered on brand volume dynamics. In Europe, if my numbers are correct, It looks like you're at about 91% of 2019 in the quarter, which is up from the mid-70s last quarter, which is great. And I guess just as you think about the back half, do you think you kind of hold steady at that mid-90s index level or do you think your plan is vision improvement, number one. And as we pivot to North America, you're also at 91% index to '19 in the quarter. But that was down from 94% in the first quarter presumably, as the economy brands were deprioritized, but as we think about the back half, similar question, do you think you'll recover that index to '19 in the back half, number one, and number two, you mentioned that premium and above premium were at the highest percentage of the overall mix you've ever seen. I guess, I'm curious as to whether in absolute terms, those price tiers are - how they compare to where you were in '19 in similar timeframe? Thank you.
Gavin Hattersley: Thanks, Steve. Okay, let me see if I can get all these for you. Look in Europe as I said, actually, and particularly in the UK, as you know on-premise is really important to us and we've actually seen the on-premise approach 2019 levels for the last, well most of July. Actually, it actually spiked a bit higher than that, but that was distorted by the Euro finals. We were actually in the UK where actually for a few weeks quite substantially above 2019 levels. That's settled back down now and as I said we are approaching 2019 levels. Central Eastern Europe is a little being a little bit more impacted by tourism and so we're probably not quite at the UK levels in Central and Eastern Europe, and you know in the US, we've seen, as I think I said on the last call, more outlets opened from an on-premise point of view than we were initially expecting and certainly volume has increased and settled down into a fairly stable level. We will have in the back half of the year, a lot more phase festivals, alliance opportunities which we didn't have in the second half of last year, and I'm referring to football primarily, which is a big drinking occasion for us. So, without wishing to put particular goals out there we are encouraged by what we're seeing from an on-premise, and then you volume point of point of view, I wasn't totally sure I got your price tiers question Steve said. Let me give it a shot. I mean, we did, as I said, had the strongest share of our of our portfolio being above premium in the second quarter based on an NSR point of view it was up into the high teens level, which we haven't seen levels like that since the joint venture hadn't started, so working particularly well. And in Q2, our NSR was actually above 2019; so encouraging signs for sure.
Steve Powers: Okay. No, that's helpful. If I just put it back to you, it sounds like you do in North America, expect that the total portfolio, not just the on-premise, but the total brand volume portfolio can better approach 2019 levels in the back half versus what we saw in the second quarter, is that a fair playback?
Gavin Hattersley: No, not really, Steve. Because of our decisions around the economy portfolio. Right. So the economy portfolio as we, as I said in my prepared remarks and as we announced to our distributors today, we are taking a meaningful cut on our economy portfolio to rationalize that. So that would be a negative for us. And if you look at our share performance. I think it's our share performance quoted often 70% of that, of that decline in shares is the economy portfolio for us and we paused a lot of SKUs and brands and some of them as we announced today won't come back. So certainly from a premium lac and above premium point of view, which include seltzers we're feeling really good about our position and our momentum.
Steve Powers: Okay, that helps. Thank you very much. Appreciate it.
Operator: Our next question comes from Kevin Grundy of Jefferies.
Kevin Grundy: Hey, good morning everyone. I wanted to kind of pull together some of the topics we've discussed so far on the call, kind of bring it back to the revenue and EBITDA guidance, kind of Gavin is you're assessing the first 6 months of the year, looking to the balance of the year and specifically around the major puts and takes. When you spoke at the investment community in June, you said that the company was running ahead of plan, on premise recovery certainly seems to be running ahead of plan and certainly where folks thought perhaps 6 months ago, the performance of your seltzer portfolio similarly also running ahead of plan, commodity environment worse and then it seems like the SKU rationalization, probably has greater pace than you anticipated at the start of the year. So can you kind of pull all this together? I was hoping you could comment on anything perhaps we're missing just put a finer point on the puts and takes as you look back over the past six months how this has progressed your level of confidence for the company as you look to the balance of the year? And then perhaps just confirm given the set up here and the strategy; it sounds like the inclination will be to reinvest any top line upside, if you could just confirm that?
Gavin Hattersley: Thanks, Kevin. A lot going on there. So I guess the two things, which I would say when we talked to the investment community at Q1 which didn't transpire as we were expecting was Canada, the reopening of the on premise and the continuation of the lock down went on for longer than we were expecting in Canada. And in the UK, we were expecting so called Freedom Day to be back in June, and as you know, that was delayed into July. I would say those are the two things that we didn't know at that time. From a revitalization plan point of view, yes, I mean we are the whole rationale for the revitalization plan is to drive both top line and bottom line growth and the first year was always going to be a reinvestment year, which was supposed to be last year, but we've been through all the reasons why that didn't make sense. And we're certainly reinvesting behind our brands this year, we, increased our marketing spend meaningfully in the second quarter. There were couple of things that didn't make sense for us to do you, like investing meaningful marketing in Canada while it was closed and delaying the UK out a month. So that was probably marketing spend that we would have spent in Q2, which will now move into the back half of the year. And as Tracey said primarily in Q3, our supply situation has improved meaningfully since the cyber-security attack and our fast moving brands and SKUs with the exception of one or two SKUs or sub-segments, our inventory levels that are higher than they were at the same time last year, which allows us now to really put emphasis behind our brands. And as I said Topo Chico is supply, we worked really well with our partners to increase our supply in the third quarter and beyond. And so that will be coming through, which will allow our marketing teams to really put emphasis behind that. So - and I think I've answered your question, Kevin, but help me if I haven't.
Kevin Grundy: No, thanks Gavin. It's extremely helpful. If I could just squeeze in one quick follow-up with Tracey on the cadence of the margin profile for this company. There's a lot of discussion on the ability for the company to reach pre-pandemic levels as you sort of look at, I understand there is a lot of volatility it's still in the environment, how should investors think about that balancing the need to reinvest and get investment levels back to pre-pandemic levels, but is there any reason to think that over the next couple of years that at the total company level margins should not reach where they were in 2019, and then I'll pass it on.
Tracey Joubert: Yes. And we have not given guidance beyond this year, but as Gavin says the revitalization plan that is about premiumization which obviously comes with higher margin, it is about the cost savings initiatives in our breweries as well as from a G&A point of view, so that should help. Beyond that and we haven't given guidance, but I would just consider those items, specifically related to revitalization.
Kevin Grundy: Very good, I'll leave it there. Thank you. Good luck.
Gavin Hattersley: Thanks, Kevin.
Tracey Joubert: Thank you.
Operator: Our next question comes from Nadine Sarwat with Bernstein.
Nadine Sarwat: Yes, good morning everybody. Thank you for taking my question. So I want to zoom in a little bit more on Europe. I mean, so how much of the volume growth that you saw in Europe came from restocking at distributor levels or retailers, especially on trade as you said Freedom Day was meant to be in June, Then it was moved to July, and then any update on the state of the inventories now and how that can help us think of the state in Q3? Thank you.
Gavin Hattersley: Thanks, Nadine. As far as inventory levels, is that a question for Europe or the U.S.?
Nadine Sarwat: Maybe we kick off with Europe and then, that was actually can be my follow-up on the U.S.?
Gavin Hattersley: Okay. Well, look, in Europe we experienced progressive increase as was the strategy reopened as you know it, we have been for outdoor consumption on April 12 then moved indoors on May 17th and then obviously only fully out into Freedom on July 19th. We saw on premise volumes in Q2 average around 70% of pre-pandemic levels, and as I said in July, we've seen on premise really start to approach the 2019 levels. There wasn't one week or two-week buildup of inventory in the on-premise and so I would say that would be more progressive. I mean, frankly, we don't hold big inventories in the UK at all. So it's not going to be a material impact one way or another from an inventory level point of view. And then, for as far as inventories in the U.S. are concerned, look, we said we want it to be in a better place by Memorial Day and we were going to be in a good place by July 4th with our big brands and our fast-moving SKUs and certainly cans was always the big challenge and we delivered what we said we were going to do with cans and on our big brands and large packs and the inventory levels for those SKUs are actually have been and continue to be above the same levels as they were in 2020. So, we're making good progress today.
Nadine Sarwat: Great, that's very helpful. And then if I could you squeeze in one more follow-up, a lot of questions so far Topo Chico. Can you give us any indication as to data you're getting from the consumers, how much of that performance is coming with respect to new trials or repeat buys? Any additional color would be helpful.
Gavin Hattersley: Yes, Nadine. I mean, the demand Topo Chico is incredibly strong, and it's really only got one SKU and we've only got distribution in 16 markets. It's already the number three new item in the segment. It's quickly become a fastest trading seltzer brand in Texas, the number three fastest turning seltzer overall right behind White Claw and Trudy and our supply continues to be tight, but our productions improved that is going to allow us to push distribution and features, our distributors, our retail partners have got strong belief in this brand and we're seeing that from a consumer point of view as well. It's actually a top 10 growth brand in the country and as I said, less than half of the of the states. From a, where is the volume coming from, it's coming from across all of the demographic groups is, no one particular demographic group that dominates and I'm sure it's taking share from some of our competitors, yes, for sure.
Nadine Sarwat: Okay, thank you. I'll turn it over.
Gavin Hattersley: Thanks, Nadine.
Operator: Our next question is from Laurent Grandet with Guggenheim.
Laurent Grandet: Thank you and good afternoon, everyone. So sets of questions and the first one is really in trying to exhausting their questions from seltzer. You obviously mentioned that Coors seltzer is stopped, but your goal to reach in 10% of this seltzer can be carried by year end. So if you can, the re-provide some color on how to would you bridge the gap from where you are right now to 10% and really on these with the loss of Coors seltzer would you be pushing for Vizzy in the short term to gain more shelf space and how comfortable you are to get that and also, we got seltzer  probably got some more and I would say manufacturing capacity to launch faster Topo Chico to virtually in-house sooner. So wanted to know if this stop has been impacting the time line for Topo Chico to view that we did in-house to be relaunching in more states?
Gavin Hattersley: Thanks Laurent. As far as our 10% share goal is concerned, we, as I said, I think we got two clear and differentiated winners with Vizzy and Topo Chico. With Vizzy we are seeing strong traction with the innovation that we brought, particularly the variety pack to and Vizzy Lemonade. We're seeing with retailers, we've got all three Vizzy SKUs on shelf that we see almost a two third increase in each of those SKUs velocities. And so we're going to continue to fuel Vizzy's momentum we've got more innovation coming. We have had innovation LTOs like a June pride pack, and we've just recently launched Watermelon variety pack. So it's carved out a unique point of difference in the category, and so much so that we're well on our way to becoming the number four spot in the segment despite all the new entrants in 2021. I'm not going to show our hand in terms of which brands are going to take Coors hard seltzer's space, but you can assume that we do have innovation coming on Vizzy and we will utilize Coors hard seltzer space to put that innovation from Vizzy into that space. And so we feel good about Vizzy, Vizzy will certainly be a big part of getting to our 10 share goal and as will Topo Chico, as I said to Nadine, I am not going to repeat all of that, but it does remain incredibly strong, suppliers improving. We have worked with our third-party suppliers to ramp up their supply and we will go national when we believe we can supply the markets that we're in at this point in time. I mean, our highest high is not quite clear yet on Topo Chico because we haven't been able to supply all the demand in Texas wherever a 10 share. I say other states. we doing equally as well. So, in terms of when are we going to bring it in-house, we've always said we're going to bring it in-house in 2022 that plan is on track. When we do it will improve our margins and it's a slightly different process than perhaps Vizzy as well Coors seltzer. So it's not a direct substitution from a liquid point of view, but certainly from a cans availability point of view, we've got that capacity and it's ready. Happy to take one more question, I think, operator.
Operator: Our next question comes from Sean King with UBS.
Sean King: All right, thanks for getting me in here. One question I have is, what was the cadence of depletions from, I guess we heard in the US like a positive mid-single digits back into the back in April to the -4% for the quarter. Any insights, maybe you could provide on what you're seeing in July?
Gavin Hattersley: Thanks, Sean. Look, I mean from a from a second quarter point of view most of decline would have been in the economy space, I mean if you look at our share. I think I said almost approaching 70% of our share loss is economy. It's a very choiceful decision that we've made. It doesn't mean that we don't think all segments matter because we do, we do believe we'll segments matter that we've chosen to ensure that we meet the demands of the largest segment of our consumers at this point in time. So, most of that decline would be driven by the choice we made around economy. As far as volume guidance into the second half, Sean, we don't do that as a matter of principle anymore and I know we used to do it in years past, but we're not going to give that now.
Sean King: All right. It was worth a shot, but I appreciate the color. Thank you.
Gavin Hattersley: Thanks, Sean.
Operator: This concludes our question-and-answer session. I would like to turn the conference back to the speakers for any closing remarks.
Gavin Hattersley: Thanks very much, operator. Look I understand they were more questions that we weren't able to get to today given the time constraints. So, please if you could follow up with our Investor Relations team and we look forward to talking with many of you as the year progresses. So, thank you everybody for participating in today's call.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.